Operator: Ladies and gentlemen, thank you for standing-by. Welcome to Suburban Propane’s, Third Quarter 2018, Financial Results Conference Call. At this time all participant lines are in a listen-only mode. Later there will be an opportunity for your questions. [Operator Instructions] As a reminder, today’s conference call is being recorded. Before turning the conference over, I’d like to start out with the Safe Harbor statement. This conference contains forward looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended, relating to the Partnership’s future business expectations and predictions and financial condition and results of operations. These forward-looking statements involve certain risks and uncertainties. The partnership has listed some of the important factors that could cause actual results to differ materially from those discussed in such forward-looking statements, which are referred to as cautionary statements in its earnings press release, which can be viewed on the company’s website. All subsequent written and oral forward-looking statements attributable to the partnership or persons acting on its behalf are expressly qualified in the entirety by such cautionary statements. I would now like to turn the conference over to the Vice President and Treasurer, Davin D’Ambrosio. Please go ahead.
Davin D’Ambrosio: Thank you, Lea, and good morning, everyone. Thank you for joining us this morning for our fiscal 2018 Third Quarter Earnings Conference Call. Joining me this morning are Mike Stivala, our President and Chief Executive Officer; Mike Kuglin, Chief Financial Officer and Chief Accounting Officer; and Steve Boyd, our Chief Operating Officer. This morning we will review our third quarter financial results, along with our current outlook for the business. As usual, once we’ve concluded our prepared remarks, we will open the session to questions. Before getting started, I would like to reemphasize what the operator has just explained about forward-looking statements. Additional information about factors that could cause actual results to differ materially from those discussed in forward-looking statements is contained in the Partnership’s SEC filings, including our Form 10-K for the fiscal year ended September 30, 2017. Our Form 10-Q for the period ended June 30, 2018, which will be filed by the end of business today. Copies of these filings may be obtained by contacting the Partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures, as well as a discussion of why we believe this information to be useful, in our Form 8-K furnished to the SEC this morning. The Form 8-K can be accessed through a link on our website at suburbanpropane.com. At this time, I’ll turn the call over to Mike Stivala for some opening remarks. Mike.
Mike Stivala : Great. Thanks Davin and thank you all for joining us this morning. On the heels of our solid performance through the first half of fiscal 2018, the fiscal third quarter got off to a great start due to an extended stretch of average temperatures across the majority of our service territories that were cooler than last year. Heat related demand dominated deliveries in the early part of the third quarter, while our more traditional counter seasonal deliveries that start in April provided support for the rest of the third quarter. As a result, adjusted EBITDA for the third quarter amounted to $30.5 million, our highest reported level of EBITDA for any third quarter, representing an increase of $9.1 million or 42.5% compared to the prior year. The higher earnings resulted from a combination of 3.6% higher volumes sold, strong margin management in a fairly volatile commodity price environment and disciplined expense controls as we met the higher demand with just a modest 2% increase in operating and G&A expenses over the prior year. Through the first nine months of the fiscal year, adjusted EBITDA of nearly $286 million was more than $42 million or 17.3% higher than the comparable prior year period. So, as I stated during our last quarterly earnings call, we were very proud of the way we planned and prepared for this year’s heating season and our business has performed in line with our expectations. With the improvements in earnings and cash flows, our financial metrics continue to get stronger. With quarter end leverage of 4.35x, trending towards our target range of below low 4x. In addition, our distribution covered is well above 1.3x, based on our trailing 12 month distributable cash flow compared to our pro-forma annualized cash distribution at the current analyze rate of $2.40 per common unit. In a moment, I’ll come back for some closing remarks; however, at this point I’d like to turn the call over to Mike Kuglin to discuss our third quarter results in more detail. Mike. 
Mike Kuglin: Thanks Mike and good morning everyone. Consistent with the seasonal nature of our propane and fuel oil businesses, we typically experienced a net loss in the third quarter of our fiscal year. However, as Mike just indicated, we reported another solid improvement in earnings compared to the prior year. Our results benefited from a combination of higher volumes sold, resulting from increased customer demand, higher unit margins and continued tight control of our expenses. To be consistent with previous reporting, as I discussed in our third quarter results, I’m excluding the impact of unrealized non-cash mark-to-mark adjustments on derivative instruments used in these management activities, which resulted in a $3.8 million unrealized gain in the third quarter 2018, compared to a $700,000 unrealized loss in the prior year. Excluding these items, net loss for the third quarter improved by $8.7 million or $0.14 per common unit compared to the prior year. Adjusted EBITDA for the third quarter amounted to $30.5 million, an increase of $9.1 million or 42.5% compared to the prior year. Retail propane gallons sold in the fiscal 2018 third quarter of 80.5 million gallons increased 2.8 million gallons or 3.6% compared to the prior year. Sales of fuel oil and other refined fuels of 5.1 million gallons were essentially flat compared to the prior year. Although whether during the third quarter typically has less of an impact on volumes sold during the heating season, we experienced a much cooler weather patterns in the month of April, which provided an extension to the heating season and drove increased customer demand. Overall, average temperatures across our service territories for the third quarter fiscal 2018 were 14% cooler than the prior year third quarter, albeit 4% warmer than normal. In the commodity markets, the price of propane based at Mont Belvieu fluctuated to a 25% range during the third quarter with prices settling at $0.94 per gallon at the end of June. Overall, average propane prices for the third quarter increased 3.4% sequentially and 38.8% compared to the prior year third quarter. Total gross margins of $142.7 million for the third quarter of fiscal 2018 increased $11.3 million or 8.6% compared to the prior year, primarily due to higher volumes solid and higher average unit margins. The margins also benefited from a higher concentration of heat related volumes solid, as well as a higher level of realized gains on long derivative contracts used to hedge price risk associated with propane purchases. With respect to expenses, combined operating and G&A expenses increased $2.2 million or 2% compared to the prior year. The modest increase in expenses reflects higher variable operating close to support higher demand, higher vehicle fuel costs, and higher variable compensation associated with higher earnings, all of which were substantially offset by continued savings from operating efficiencies. Net interest expense of $19.5 million for the third quarter of fiscal 2018 increased $1 million or 5.5% compared to the prior year, primarily due to the impact of the rise in benchmark interest rates and borrowings under our revolving credit facility. Total capital spending for the third quarter amounted to $7.7 million, representing an increase of $2.9 million compared to the prior year. The increase reflects the purchase of properties to support our customer base growth initiatives, the loss of tanks and cylinders in support of new customer installations. During the third quarter we also closed on the acquisition of a propane operation strategically located on Florida market for a total purchase price of $11.9 million. The capital spending and the acquisition during the quarter were funded with internally generated cash. Looking at the year-to-date performance, as Mike mentioned adjusted EBITDA for the first nine months of fiscal 2018 increased more than $42 million or 17% compared to the prior year. Earnings benefited from a 7% increase in propane volumes sold, as well as higher average unit margins and continued operating efficiencies to help partially offset higher variable operating costs. And turning to our balance sheet, in continued support our deleveraging efforts, during the third quarter we paid down all the borrowing by roughly $23 million from operating cash flows. From a leverage perspective, the combination of the increase in earnings and debt repayment resulted in our consolidate leverage ratio improving to 4.35x at the end of Q3. We are well within our debt covenant requirements and remain focused on restoring our balance sheet strength, which includes achieving a target leverage profile in the mid to upper 3x. Back to you Mike. 
Mike Stivala : Great, thanks Mike. As announced in our July 26 Press Release, our board of supervisors declared our quarterly distribution of $0.60 per common unit in respect of the third quarter of fiscal 2018. The quarterly distribution will be paid on August 14 to our unit holders of record as of August 7. So in closing, fiscal 2018 has shaped up to be a year in which our operations were challenged with a more seasonable weather patterns and the result in increased customer demand. We were very well prepared to meet that higher demand and to deliver a significant improvement in earnings. We put the excess cash flow to work, investing in the growth of our propane operations in strategic markets and reducing debt. As a result, we have made significant strides in restoring our balance sheet strength and are very well positioned both operationally and financially to continue to pursue our strategic growth initiatives. And finally, I’m extremely proud of the more than 3,200 employees of Suburban Propane, maintaining their focus on carrying out their commitment to outstanding service to the customers and communities they serve and executing on our customer base growth and retention initiatives. Thank you for all that you do every day. And as always, we appreciate your support and attention this morning, and would now like to open the call up for questions and Lea, if you wouldn’t mind helping us. 
Operator: [Operator Instructions] And our first question is from the line of Ben Brownlow with Raymond James. Please go ahead. 
Ben Brownlow: Hi, good morning. Congrats on the quarter! 
Mike Stivala: Great, thanks Ben. 
Ben Brownlow: Just one quick question from me. On the maintenance CapEx that came down about $2 million sequentially and from the first half of the fiscal year. It was about $1 million below what I modeled. Any color call out there and are you still kind of looking for kind of a $15 million CapEx for the fiscal year. 
Mike Kuglin: Yeah Ben, it’s Mike Kuglin. Any movement sequentially really has to do with the timing of the expenditures on a full year basis. The expectations of $15 million still remains the best estimate. 
Ben Brownlow: Great, that’s all I had and you blew my street high numbers out of the water, so congrats again. 
Mike Stivala: Great, thanks a lot Ben. Appreciate it. 
Operator: Next we go to line of Mike Gyure with Janney Montgomery Scott. Please go ahead.
Mike Gyure : Yeah, good morning guys. 
Mike Stivala: Hi Mike. 
Mike Gyure : Another great quarter and I appreciate sort of the color you gave on sort of the initiatives you guys are working on. Can you talk a little bit about I guess the acquisition opportunities out there. Obviously you did the one in Florida. Can you maybe talk about kind of the markets you’re focused on and what you’re looking at there? Is it more sort of overlap of what you guys have or sort of new markets? Kind of what you are looking at there maybe. 
Mike Stivala: Yeah, it’s a good question Mike. It generally starts with – we have a list of good quality businesses that we keep our eye on and our footprint is in 41 states and we break that up into a 11 region. So each of our 11 region management teams have a good pulse of what their market is and who the good quality businesses are in their markets. So it starts from really knowing the marketplace and knowing who we would want to acquire based on the quality of the business. And so generally the majority of what we look for are businesses that are an exact tuck-in to our existing footprint. But I would say – and we’ve actually been somewhat. I think we’ve talked about this a little bit on prior calls, but you know we’ve actually started to Greenfield some new markets by just buying properties, adding some storage and extending our delivery radius a little bit outside of where we are currently. So as a result of those initiatives we are also, we do have opportunities where businesses come up that still avoid in our delivery radius that we may have a small footprint, and it’s a little bit too far outside of our current you know customer service delivery radius, and so instead of buying into that market by properties we actually buy into it as a customer base. So we have done that as well. So it’s a combination of both, but it’s primarily the main premises has got to be a good quality business. 
Mike Gyure : Right and then maybe if you can touch on I guess you’re thinking, what to do with sort of the additional cap. It sounds you’re certainly focused on paying down leverage. Should we expect more spending in the growth capital next year or is that you think still going to be, used to be paying down debt?
Mike Stivala: I think it will be a balance you know. It’s going to be dependent on the opportunities. You know we’ve done a couple of deals this year and so we’ve invested $15 million or so in acquisitions. Mike in his prepared remarks had some color on the increase in growth CapEx which was really supporting our customer base growth. So we really have done a heck of a job driving our initiatives around customer base growth and retention and that’s coming through in the growth capital with buying new text. So it is going to be a balance of reinvesting in growth of the business, both for new customer installations and acquisitions, but we also have a goal to get our leverage down below four and so we’ll look for opportunities to reduce debt as well. 
Mike Gyure : Great. Thanks very much and congratulations. 
Mike Stivala: Great, thank Mike. 
Operator: And there are no other questions. You may continue. 
Mike Stivala : Okay, great. Thanks Lea for your help. Thank you everybody for your time this morning and enjoy the rest of your summer and the next time we talk will be in November following our fourth quarter earnings and full fiscal year results and getting prepared for 2019. Thank you. 